Operator: Welcome to the Ryman Hospitality Properties' First Quarter 2013 Earnings Conference Call. Hosting the call today from Ryman Hospitality Properties are Mr. Colin Reed, Chairman and Chief Executive Officer; Mr. Mark Fioravanti, Executive Vice President and Chief Financial Officer; Mr. Patrick Chaffin, Senior Vice President of Asset Management; and Mr. Scott Lynn, Senior Vice President and General Counsel. This call will be available for digital replay. The number is (800) 585-8367, and the conference ID number is 33784428. [Operator Instructions] It is now my pleasure to turn the floor over to Mr. Scott Lynn. Sir, you may begin.
Scott J. Lynn: Good morning. Thank you for joining us today for the company's first quarter 2013 earnings call. This call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, including statements about the company's expected future financial performance. These statements may be affected by many factors, including those listed in the company's SEC filings and in today's earnings release. As a result, the company's actual results may differ materially from the results we discuss or project today. We will not publicly update any forward-looking statements, whether as a result of new information, future events or any other reason. We will also discuss non-GAAP financial measures today. We reconcile each non-GAAP measure to the most comparable GAAP measure in an exhibit to today's earnings release. I will now turn the call over to the company's Chief Executive Officer, President and Chairman, Colin Reed.
Colin V. Reed: Thank you, Scott. Good morning, everyone, and thank you for joining us today. Let me start by saying that this quarter was, no doubt, one of the most complex quarters that we have ever dealt with, and Mark and I will do our best to describe the series of events that both positively and negatively affected the quarter, as well as several post quarter events that influence how we think about the year. Now the way we're going to deal with the many events is by discussing them one by one, and the order that we will do this is as follows: first, the top line and the events that affected it; second, cost synergies and their implications to the first quarter and the rest of the year; third, forward bookings and how the Marriott system is starting to contribute to the future; fourth, we'll talk about tax and the implications of converting to a REIT, as well as the implications of a recently concluded IRS audit; fifth, guidance and how we see the rest of the year; and sixth, our balance sheet, our share buyback program and then growth. So let me start with the top line of our Hospitality business that was negatively impacted by several unusual events. Clearly, the most material was and is the consequence of the political stalemate in Washington and the subsequent sequestration. Against this backdrop, Gaylord Hotels' occupancy in the first quarter of 2013 declined 1.2 percentage points to 67.5% when compared to Q1 of 2012. The decline was primarily driven by an increase in short-term cancellations in the quarter for the quarter and the impact of government-related business in the Washington, D.C. market. Cancellations in the quarter for the quarter were 16,592 group room nights compared to 1,202 -- 1,212 in the first quarter of 2012. In the quarter for the quarter cancellations in the first quarter of '13 were only 745 room nights less than the first quarter of 2009 at the height of the recession. Now a significant number of these cancellations materialized at Gaylord National as several large government-related groups canceled on short notice as sequestration took hold. Now to go deeper, we saw a 9-percentage-point decrease in occupancy in the quarter at Gaylord National, with nearly 5 percentage points of this attributable to government cancellations in the quarter for the quarter. Now this was considerably higher than the rest of the market mainly because of one short-term piece of business of 6,000 room nights that canceled in Washington. And for your information, we had a 1,600 room nights short-term cancellation also at the Gaylord Texan. So the natural question is, what does this mean for the rest of the year and 2014? And in answer, I'm going to share some very important data that we've not historically shared with you before. First and foremost, government business has been historically a relatively small part of Gaylord Hotels brand. In fact, in 2011 and 2012, our total government business represented about 6.9% of our group business. For our Washington hotel, that number was a little higher for these years at about 8.8%. But as the congressional budget battles loomed last year, as well as negative publicity surrounding previously held GSA conventions, the amount of business we booked in this segment declined materially. Now to put this in perspective, as of the end of April of this year, we only had 22,000 total government room nights left on the books for all of Gaylord Hotels for the rest of '13 compared to approximately 54,000 room nights at the same time last year for '12. As regards 2014, we only have about 6,500 government room nights booked for all of next year. So we have very little government business left on our books, so we do not anticipate the first quarter's issues to be replicated. Now as we've discussed many times before, attrition and cancellation fee collection does offer us a degree of profitability protection against just this type of occurrence. But to be clear, we recognize these revenues in the quarter in which they are collected, so there is a delay before we see the benefit to our bottom line. Now several other events also had an impact, namely, a business mix shift year-over-year from premium corporate and association group business to less lucrative SMERF and transient business. This mix shift is held primarily in the outside-of-the-room spending as evidenced in our financials. You will notice that while room revenue decreased a little over $2 million, all other non-room revenue decreased by over $14 million. Now this mix shift was anticipated in our 2013 plan but does make for a difficult comparison when looking at quarter-over-quarter results. Now as regards to the mix shift for the remainder of '13, the negatives of the first quarter flip, and we see a much stronger book of corporate business for the remainder of '13 compared to the prior year. Also for us, a group-dominant business, east of falling in the first quarter, impacted group rooms sold in the quarter. Okay. Now that's the end of the negatives. Now there were some -- there were many good things that occurred in the first quarter that will drive the future, and let's first talk about leisure. Now the clear benefits from the Marriott transient delivery system are starting to emerge. To remind you, Gaylord Opryland's property management system was not fully integrated until late January. It was unable to participate in the Marriott Rewards program in an automated way until this transition was complete, but despite this, our hotels generated approximately 18,600 more leisure room nights than in the same period last year. And the leisure room nights generated were the best ever in the first quarter. Furthermore, transient ADR jumped $17.05. This is obviously very encouraging. Now let's talk about cost synergies. When we met in mid-February, we gave you clear guidance as to what we thought would happen at our corporate level. Now as you will see from our financials, our run rate for the first quarter is at the savings we predicted. In fact, once our corporate accounting systems have fully integrated that we hope will occur in the third quarter -- actually, we're pretty confident will occur in the third quarter, I am hopeful that our costs will reduce a little further. Now let me talk about the hotel-level synergies. We also told you at Investor Day, a large part of this cost reductions come about when all of the systems that Marriott are bringing to the table are installed and people are fully trained against them. Q1 marked the completion of the system's integration, and property-level efforts are now focused on training and process compliance. As we sit here today, it's fair to say, we continue to expect to harvest the $13 million to $16 million of synergies this year, and Marriott has articulated to us a clear plan to accomplish just that. Now bookings. Now we wanted to -- we pointed out to you at many times in the past, the most important metrics to our model are advanced room nights booked in the period for all future years, together with group room nights we have on the books in contract form. It's these 2 metrics that give me a lot of confidence in the future, and I'll explain. In the first quarter of 2011, we booked approximately 360,000 group room nights. Then in '12, we booked 372,000 group room nights. But in '13, we booked 588,000 room nights. Yes, I said 588,000 room nights, and this is a record for our hotels. Now let me give you the Washington hotel numbers: 78,000 in '11; 135,000 in '12; and 149,000 in '13. And out of the 149,000, only 1,000 of those were government-related. Also, Marriott has modified -- has informed us that it's modified its sales deployment to focus on premium, corporate and association business. So we will be further mitigating the rapidly evaporating risk associated with government bookings. And by the way, out of the 588,000 room nights booked in the first quarter, 152,000 of those were for 2013, which is a really good number. We've also analyzed the source of the room nights, i.e., did they originate from the Gaylord database and the relationships that we had prior to the Marriott relationship? Or were they sourced through Marriott? And what we found was that approximately 17%, 1-7 percent, of our record-setting first quarter production was new business to our hotels and originated from the Marriott system. This is very encouraging. Now one further detail I want to give you is regarding Gaylord Opryland. And some of you have asked -- some of you asked at our Investor Day in mid-February, what, if any, impact the new convention center and convention center hotel here in Nashville would have on Gaylord Opryland? And we said at the time very little. Now let's put some facts to that opinion. Gaylord Opryland group production in the first quarter of '13 was a whopping 251,000 room nights. I repeat, 251,000 room nights, up from 143,000 in '11 and 113,000 in '12. Also at the end of March, we had roughly 1.9 million group room nights on the books for the property for all future years. Now by contrast, from recent comments from the General Manager of the soon-to-be-opened convention center, it would seem that it has approximately 840,000 room nights booked and dispersed throughout the city. Furthermore, from recent press release from our friends at Omni, its yet-to-open new convention hotel has approximately 250,000 room nights on the books, some of which, I'm sure, are included in the convention center numbers. So clearly, Gaylord Opryland is in a league of its own in this city, and it's booking at a very exciting pace. And this bodes well for our company and the city of Nashville. I've got one more data point as regards forward room bookings that I think is critical to your analysis of our company. As we look forward to 2014, we had informed you at Investor Day that group bookings were pacing ahead of our 4-year historical average. To be more specific, as of the end of the first quarter of '13, we have approximately 87,000 more group room nights signed up at this same point last year for 2013. This is very encouraging given the fact that we have almost no government business at all booked in 2014. Now moving away from bookings, moving onto the tax implications to our financials. So in the first quarter, we made 2 adjustments to our financials. The first as a consequence of us converting to a REIT pertaining to deferred tax. And Mark will give you more color on this. And second, we reversed previously accrued liabilities for uncertain tax positions that were settled with the IRS to add benefit late in this first quarter. As regards guidance, Mark will give you more information. But notwithstanding the government cancellations we experienced in the first quarter, we believe given the emerging strength of our group business, the more favorable mix shift as the year progresses, our ongoing corporate cost savings, our confidence in Marriott's commitment to harvesting property-level cost synergies, we're reiterating our 2013 guidance, save for one modification as regards conversion costs, which Mark will explain. Moving to the balance sheet. We've also made a number of moves to enhance our capital structure and after our quarter closed. First of all, we refinanced that bank debt that allowed us to increase our total bank line to $1 billion. Not only did we give ourselves more flexibility, but we did so at a lower cost. We also completed a senior notes offering. We repurchased approximately $56 million of stock or 1.3 million shares during the short period of time our window was open against the 100 million repurchase plan we have in place. We also announced a strong 2013 dividend payout of approximately $2 per share or $0.50 per quarter, which gives us one of the best dividend yields in the Hospitality REIT sector. Last but not least, growth. During the first quarter, we had several potential acquisitions that came our way, but frankly, nothing of real interest. As we explained to you at our Investor Day, given how we're thinking about our company for this and the next year, we prefer to invest our capital into our own stock to give us -- particularly given our current valuation and our belief about the future. And with that, I'll turn the call over to Mark so he can handle the discussions and further details on other bits and pieces. Mark?
Mark Fioravanti: Thank you, Colin. Good morning, everyone. I'll spend a few minutes this morning reviewing the financial highlights for the quarter, touch on the balance sheet and our refinancing activities and then our guidance for the year. On a consolidated basis, Ryman Hospitality Properties' revenue for the first quarter of 2013 was $222.1 million, a decrease of 6.2% from the prior year quarter, adjusted for the outsourcing of Hospitality retail operations. The revenue decline was driven by a decline in occupancy attributed to a decreased group and government business and a decrease in outside-the-room spending, primarily in banquets due to an unfavorable business mix versus the prior year quarter. During the quarter, the company generated income from continuing operations of $53.8 million or $0.81 per fully diluted share. Net income in the quarter includes $15 million in pretax expenses related to the company's conversion to a real estate investment trust, as well as a $66.3 million benefit for income taxes. The tax benefit is primarily due to the reversal of $137.4 million in net deferred tax liabilities associated with accelerated tax deductions taken on our real estate assets prior to our conversion to a REIT, partially offset by a valuation allowance of $76.1 million related to the net deferred tax asset of the TRS, primarily due to the book versus tax timing differences in the recognition of income related to the gain on sale of a management contract to Marriott. In addition, we reported a $6.7 million tax benefit related primarily to the reversal of liabilities associated with uncertain tax positions from the 2008, 2009 and 2010 tax years that were settled in the quarter. On a consolidated basis, the company generated adjusted EBITDA of $50.6 million and $23.5 million in adjusted funds from operations or AFFO per fully diluted share of $0.35. AFFO, excluding REIT conversion costs, was $34.9 million in the quarter or $0.52 per fully diluted shares. It's important to remember that the GAAP fully diluted share calculations do not consider the anti-dilutive effect of the company's purchase call options associated with our convertible notes. As a reminder, the dilution mechanics for the convertible notes, purchase call and sold warrants is available in the Investor Toolkit section of our website. Turning to the Hospitality segment. Driven by a 120-basis-point decline in occupancy, RevPAR declined 1.2% to $117.33 in the first quarter of 2013. After adjusting the prior year revenue for the outsourcing of retail operations, total RevPAR for the first quarter of 2013 declined 5.3% to $287.56. Gaylord Hotels in the year for the year cancellations in the quarter totaled 30,100 room nights compared to 8,817 room nights in the first quarter of 2012. As Colin mentioned, this increase was partially attributable to the significant government-related group cancellations in the Washington, D.C. market. Attrition in the quarter increased 3.8 percentage points to 8.3% versus the prior year quarter. During the quarter, Gaylord Hotels collected $1.8 million in attrition and cancellation fees. Compared to the prior year quarter, Hospitality segment adjusted EBITDA decreased 26% to $54.7 million. Hospitality adjusted EBITDA margin decreased 6.6 percentage points to 26.1%. The Opry and Attractions segment generated revenue of $12.5 million and adjusted EBITDA of $1.4 million. And with most of our corporate cost synergies in place, the Corporate and Other segment adjusted EBITDA totaled a loss of $5.4 million in the first quarter, a $6.1 million improvement when compared to a loss of $11.5 million in the prior year quarter. During the first quarter of 2013, the company incurred $15 million of costs associated with REIT conversion activities. Conversion costs in the quarter were primarily employment and severance related to additional employees leaving the company. Based on the current forecast, we're increasing our 2013 pretax REIT conversion cost estimate to $24 million to $25 million versus our previous estimate of $18 million to $20 million. This increase is driven primarily by higher-than-expected property-level employee equity compensation and pension settlement costs associated with the conversion to a REIT. Moving on to the balance sheet. As of March 31, 2013, we had total debt outstanding of $1,092,100,000 and unrestricted cash of $44.8 million. On January 17, we redeemed our remaining 6.75% senior notes at par at a cost of $152.2 million. Also during the quarter, the company repurchased and canceled approximately 1.3 million shares of its common stock for an aggregate purchase price of $55.7 million. Since the end of the first quarter, we completed the successful refinancing of our $925 million credit facility that was scheduled to mature in August of 2015. The increased and extended $1 billion credit facility will mature in April 2017 and is comprised of a $700 million revolving credit line, $154 million of which was drawn and closed, and a fully funded $300 million term loan. We were able to secure a favorable pricing on the facility with initial pricing set at LIBOR plus 1.75%. We also completed the private placement of $350 million of 5% senior unsecured notes due 2021, with aggregate net proceeds of approximately $342 million after deducting the initial purchasers' discounts and commissions and estimated operating expenses. Our year-to-date refinancing activities have improved our maturity schedule and provided balance sheet capacity and flexibility at attractive rates. On April 12, 2013, we paid our first quarterly cash dividend of $0.50 per share of common stock. We also announced our plan to distribute total annual dividends of approximately $2 per share in cash and equal quarterly payments in July -- in April, July, October and January, subject to the board's future determinations as to the amount of the quarterly distributions and the timing thereof. And now turning to guidance. As Colin indicated, the company is reiterating its 2013 full year RevPAR, total RevPAR, adjusted EBITDA and AFFO guidance. Please note that with the successful settlement of our uncertain tax positions in prior years, our adjusted EBITDA and AFFO guidance now contemplates an increased benefit from income taxes, which is offset by increased interest expense associated with our refinancing and share repurchase activities. Based on our current forecast of REIT conversion costs, we are reducing our guidance for AFFO after REIT conversion costs by approximately $6 million from $193 million to $207 million. And to account for our recent share repurchase activity, we have reduced the share count used in our AFFO per basic share and AFFO per basic share after REIT conversion cost guidance ranges. And with that, I'll turn the call back over to Colin for any closing remarks.
Colin V. Reed: Mark, no. I think what we'll do is we'll open up the call for questions. Jackie, if you could do that, please. And we will take questions.
Operator: [Operator Instructions] Your first question comes from the line of Bill Crow with Raymond James.
William A. Crow - Raymond James & Associates, Inc., Research Division: A couple of questions, Colin. The maintenance of the RevPAR and total RevPAR guidance for the year implies either the first quarter was in line with your expectations or you're more optimistic about the balance of the year. I guess, which one is it?
Colin V. Reed: Well, the thing that caught us a little bit by surprise, Bill, in the first quarter was the government cancellations. The mix was something that, of course, we knew something about and was embedded within our plan. We've got about 50,000 more corporate room nights on the books for the rest of this year than we had at this time last year for this year, and -- for last year, sorry. But here's the thing also, that we are delighted with this level of activity that we have seen in the first quarter from our friends from Marriott and our existing salespeople that stayed with the company. If we continue to see the level of production that we have seen in the first quarter through the rest of the year, the year is going to be a decent year. We're also very pleased with what we have seen in the first quarter from leisure production. And then the other thing that you got to remember, Bill, is that once we told the world come June of last year -- or end of May last year, that we are going to sell our hotel brand to Marriott, and Marriott was going to be the manager, essentially, as we've discussed multiple times, our salespeople basically went into hibernation. And you saw our sales production in the last part of the second quarter, third quarter, fourth quarter of last year. We don't obviously expect that to happen this year. So we -- it's a combination of a decent book of business and a momentum we have in bookings as we look at the [indiscernible].
William A. Crow - Raymond James & Associates, Inc., Research Division: All right. On the quality of the bookings or the composition of the groups that are in there, can you kind of reassure us that the advanced bookings that were put on the books in the first quarter are going to be that corporate and association business? And then you made a comment about Marriott shifting its focus to the premium group and association business. I'm just trying to figure out where they were before they made that shift that your prepared remarks alluded to.
Colin V. Reed: Yes, maybe those words weren't entirely well thought through. We had a very large meeting last Monday in Bethesda and -- with our friends from Marriott. And there were -- probably they brought 15 to 20 folks to the table. And we talked in detail about the activity that they have -- that they are applying to both the corporate market and also the small meetings market. And I think we all, Mark, Patrick and I, came away from that meeting feeling that they were focusing on that sector with a lot of diligence. And we heard probably a stronger emphasis on that sector in that meeting than we have historically heard. I think that's the way I would describe it. Mark, you've got any comments or Patrick?
Patrick Chaffin: Yes. The only thing I would add just to Colin's comments back to one part of your question as far as what do we see and what was booked in the first quarter for the back half of the year, just to lend additional credence to that, we booked about 84,000 corporate room nights of what we booked in the first quarter. So in the year for the year, there was a high mix of corporate bookings that were captured in that first quarter, which is very encouraging to us because, as you know, corporate groups tend to spend more outside-the-room. And for our model, that is definitely the type of room mix we want to be capturing.
William A. Crow - Raymond James & Associates, Inc., Research Division: That's helpful. Finally for me, guys, we've heard from others, of course, about the negatives in D.C., but we've also seen the first quarter benefited from the inauguration, not as much as 4 years ago, perhaps. I know you were a big part of it 4 years ago. Did you not receive a similar benefit this year from the inauguration?
Patrick Chaffin: Bill, that's a good question. We did receive benefit. It was all in the form of rates because it falls over a period that we can drive group business in-house. And so the benefit for us is on the rate side. And so if you look at the National, there was a rate lift in January for that hotel, but that really is the only true impact that we had.
Operator: Your next question comes from the line of Kevin Milota with JPMorgan.
Kevin Milota - JP Morgan Chase & Co, Research Division: I had a question as it regards to the percent of budgeted room nights that you have on the books. So the 588,000 advanced group room nights, how does that break down for '13, '14, and '15?
Colin V. Reed: The production. Do you have those notes, Patrick, handy?
Patrick Chaffin: Production. Yes. The -- okay. So the production that we did in the first quarter, the 558,000, Kevin, about 143,000 -- and I'm talking in terms of gross. About 144,000 fell into this year; about 78,000 are falling into 2014; 103,000 went into 2015; about 44,000 into 2016; and then beyond 2015, there's about 190,000 room nights that were booked.
Kevin Milota - JP Morgan Chase & Co, Research Division: Okay, great. Just in terms of -- I know this is a stat that you provided in the past. But as the percent of revenue booked for the upcoming years, do you have that similar stat as it stands now?
Mark Fioravanti: Yes. Right now, for 2014, Kevin, we've got about 39 points of occupancy on the books for '14. That's about 3 percentage points ahead of where we were last year. And if you look at the rate that those rooms are on the books at compared to where we finished '12, we're high single digits above that average rate.
Colin V. Reed: And, Kevin, remember, we pointed out as well, we've only -- out of all of those room nights, the almost 40 points of occupancy, only 6,000, 6,500 of those room nights are government-related. So that is all good news.
Patrick Chaffin: In the first quarter, we saw a lot of really good production into '15. '15 is just under about 30 points of occupancy, and we're heading into the corporate booking window now for that period of time. So we'll be looking to our sales team and the Marriott folks to really start driving into '15 as well and pushing it up as well.
Kevin Milota - JP Morgan Chase & Co, Research Division: Okay, great. And then -- so those were the '14 to '15 numbers. For '13, do you have a similar stat?
Colin V. Reed: How many room nights we've got on the books?
Kevin Milota - JP Morgan Chase & Co, Research Division: Yes, just the occupancy on the books at this point.
Patrick Chaffin: For '13, give me just one second, if you could, and I'll find that for you.
Kevin Milota - JP Morgan Chase & Co, Research Division: Okay. No worries.
Colin V. Reed: Is that the end of your question, Kevin?
Kevin Milota - JP Morgan Chase & Co, Research Division: Yes. And then the last one just relates to the 22,000 rooms that you have from government. I mean, at this point, do you think there's substantial risk to those groups showing up? Or have we hit a point with the federal issues that you think you have a pretty good clarity in terms of if those rooms will actually show at the National?
Colin V. Reed: Yes. We've obviously analyzed the living daylights out of these particular groups, and I think it's fair to say that we've taken a little bit of a haircut on those groups as we've done our forecast for the rest of this year. I think that's correct. Patrick, do you have that number?
Patrick Chaffin: Yes, I do. Kevin...
Colin V. Reed: Or do you want to get back to him?
Patrick Chaffin: No, I've got it here with me. Thanks for giving me just a minute to pull it up. As you know, we had about 500,000 room nights traveled during the first quarter. And so for the rest of the year, we currently have about 1.1 million room nights on the books. So that is definitely in keeping with what we would expect at this point in the year.
Colin V. Reed: And with a more favorable corporate mix.
Operator: Your next question comes from the line of Andrew Didora with Bank of America.
Andrew G. Didora - BofA Merrill Lynch, Research Division: Colin, maybe could you speak a little bit more broadly about the visibility you have in your business model, maybe with a particular focus on National? I guess my question is, how much of the 9% occupancy decline at the property was actually contemplated in your budget? And then how much of that came as a surprise to you, guys?
Colin V. Reed: The part that came as a little bit of a surprise to us was the 2 or 3 in the quarter, late in the quarter group, government bookings that we had canceled. We also had an attrition rate that was running a little higher than we had contemplated in our plan. But we knew in our plan that there was a mix shift that was going to negatively affect the first quarter. And so that would be the commentary I would make on this.
Andrew G. Didora - BofA Merrill Lynch, Research Division: Okay. And I know -- I think one of your responses to an earlier question was that you haircutted some of this government business for the rest of the year. I guess if governments continue to cancel at this pace, what is your confidence that you're able to replace this business as the year goes on?
Colin V. Reed: Well, we only have 20-odd thousand room nights for the whole company in government business booked for the rest of the year. So we -- our leisure room nights, we produced in the first quarter 18,000 more in the first quarter than we did this time last year. We don't think with the limited amount of exposure the company has for the rest of this year, we don't think this is material to us.
Patrick Chaffin: Yes. And to that point, we've redeployed a lot of the sales team that is focused on the Gaylord National. They are focusing more on short-term business that we know is not government-related, whether that be pharmaceuticals or financial services. And so we've got that team focused on looking elsewhere to drive additional room nights in the year and for '14 and beyond.
Andrew G. Didora - BofA Merrill Lynch, Research Division: Okay. And then my final question. I kind of just wanted to touch on the balance sheet. Colin, you went through a little over a half of your buyback authorization pretty quickly in 1Q. Just given where you price your credit facility and your recent senior notes offering, what is your view of adding some leverage here in order to buy back more stock?
Colin V. Reed: Well, we'll see where things go. What we have told you all and what we've told the rating agencies and we've told our bank, we don't think it's appropriate to push our leverage much beyond 4.5x. And our pro forma has us -- for our '13 plan, has us operating less than that -- healthily less than that. So we'll see what happens here. But I think we've been pretty consistent that we like our equity. We like -- we think the future of this company looks extremely bright. And we believe we are trading at a material discount. And we'll see where things go here over the next month to 2 months. But -- and we'll be having these conversations with our board. But I don't think we're going to be done here at $100 million. We're going to continue to look at what evolves. That was a long-winded punt.
Operator: Your next question comes from the line of Will Marks with JMP Securities.
William C. Marks - JMP Securities LLC, Research Division: I guess I wanted to ask just on the miss or the weakness in the first quarter. So when you guys gave guidance, it was right when we enjoyed Valentine's Day with you all. And the -- that was mid-quarter. So the big cancellations, which I think were responsible for what you say is the miss, were at that point. Can you just talk about -- or were sometime after that point. Can you talk about how this is a counterpart in terms of -- I imagine you got some nice cancellation fees out of it. Do they come all in the first quarter and the second quarter? That's for me.
Colin V. Reed: Well, look, let's be clear. We didn't give you quarter-by-quarter guidance. We gave you guidance for the year. We've missed against your extrapolation of what you thought we were going to do. And yes, we've got -- we had 3 or so cancellations in the first quarter. That negatively impacted our business. But we've been pretty clear, the leisure side of our business is operating at a level that frankly is a little ahead of where we thought it was going to be. And we also -- if you recall on that February 15 meeting, when we got pressed about, "Well, where do you think Marriott is going to be in terms of group production?" We said we're going to take a pass on that right now. We believe over time that their group delivery model will -- because of the amount of people they have dedicated to this and the amount of corporate customers they have, the 130,000 customers that we talked about, we believe over time that, that will be material. Well, what has actually happened is we've taken apart this first quarter, and 17% of this 550,000-ish room nights have been produced through the Marriott system. So we are happy about what is going on here. So I know that's a long-winded way of saying we've missed against your expectations, we have a plan that knew there was going to be a mix shift. And we -- as we sit here today, I'm comfortable with our guidance.
Mark Fioravanti: In terms of your other question, Will, we collected $1.8 million in the quarter in terms of fees. We've got about another $1.2 million of receivables on fees that we'll collect when those travel dates actually occur and those fees are due. And then in addition to that, we had a number of cancellations rebooked either for later years or for multiple years in the future. So that's kind of how the cancellation fees work through in the first quarter.
Patrick Chaffin: And to give you a feel for how that's sort of built over the quarter, I mean, our occupancy, we actually finished January ahead year-over-year in occupancy, about 3.7 points. But then February and March were down 2.9 points in occupancy and 4.7 points, respectively. So as we stood at the end of January...
Colin V. Reed: Against our plan.
Patrick Chaffin: This is actually against year-over-year. So as we stood at Investor Day, there was still a lot of noise coming in the quarter that we really hadn't seen materialize at that point. But to Colin's point, the mix shift was definitely something we had already anticipated.
William C. Marks - JMP Securities LLC, Research Division: Okay. That makes sense. And just one follow-up to that is, when someone cancels on a fairly short notice like that, what is it? 100% of the room rate? 3/4 of the food and beverage minimum? Or can you just remind us approximately how that works?
Mark Fioravanti: Yes. Typically, it is a portion of the room rate and the food and beverage minimum to keep us whole in terms of profitability. And to your point, Will, as you get closer in the travel date and when you're in the quarter for the quarter, typically, their full fees are due to us. One of the challenges, though, with this quarter, from a fee perspective and the reason why fees weren't as strong as one might anticipate is, is that one of the other challenges with government businesses is that they typically will not agree to cancellation fees or they will require significantly reduced cancellation fees.
Colin V. Reed: And there's a reason for that, and that is, this is a short-term business, typically, government books within a 12-month window. And so they come to you and they say, "Look. I want to come next September. Do you have the whole?" The answer is yes. And they say, "Well, there's a different type of negotiation that goes on with government." But look, government is becoming an insignificant part of our forward book of business, and I don't think it's going to be material to us, prospectively.
Operator: [Operator Instructions] Your next question comes from the line of Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank AG, Research Division: Just really quickly on the Easter shift and, obviously, how that would have impacted your business. I know Marriott gave some statistics on a monthly basis. Could you guys talk a little bit about how things changed for post of 1Q in April once you kind of adjust for that holiday?
Colin V. Reed: Impact of Easter.
Patrick Chaffin: Okay. Yes, I'm not sure [indiscernible].
Mark Fioravanti: In terms of if it rolls from March to April, how it impacts April?
Patrick Chaffin: Yes.
Colin V. Reed: I don't know. I think what we'll do is we'll give you -- Patrick will get back to you on that question. I think our April numbers have not been -- I mean, I think -- let's get back to you because we're waffling, and I don't want to give you incorrect data. And -- if you don't mind on that question. The impact of group business shifting from the March period to the April period because Easter was in March, we'll give you that information, but we'll have to get back to you on it.
Carlo Santarelli - Deutsche Bank AG, Research Division: Great. And then if I could, just one follow-up. With respect to the margins, obviously, a lot of moving parts, but some of the margins in the quarter looks like there were significant swings on a year-over-year basis. Are you guys seeing any unaccounted for pressures today relative to kind of when you outlined your guidance? Or are there any things on the cost side that might have crept up that was unforeseen?
Colin V. Reed: Go on, Mark.
Mark Fioravanti: No. I don't know that they were -- nothing has crept up kind of systemically that I would say was unforeseen. We had talked about earlier in the year the fact that we had a change in union benefits that was going to impact margins, as well as property tax increases. Obviously, we now have management fees that roll through the P&L at the property level. I think that the issue for us from a margin perspective is the continued ramp-up of property-level cost synergies. Those synergies are to come, as Colin outlined on this call -- on the call, with all the systems now in place. So we should see those margins continue to expand as we move through the years, and synergies are realized at the property level.
Colin V. Reed: Okay. Maybe we'll go for one more, Jackie, and then we'll wind the call down and let -- if anyone has any subsequent questions, they know how to get a hold of us here at the company.
Operator: We have no further questions.
Colin V. Reed: Okay, excellent. Well, thank you, everyone, for coming. A complicated quarter and -- but I think the rest of the year and next year look very good for the company. So appreciate your time this morning and look forward to seeing you all at the upcoming conferences that we will be attending. Thank you very much, indeed.
Operator: This concludes today's conference call. You may now disconnect.